Kathy Galante: Good morning and welcome to IVERIC bio’s conference call. Representing IVERIC bio today are Mr. Glenn Sblendorio, Chief Executive Officer; Dr. Pravin Dugel, President; Mr. Keith Westby, Chief Operating Officer; Mr. David Carroll, Chief Financial Officer; Dr. Dhaval Desai, Chief Development Officer; Mr. Chris Simms, Chief Commercial Officer; and we are pleased to welcome Mr. Tony Gibney as Chief Business and Strategy Officer. Tony joined the company in mid-December. It is a pleasure to have you with us Tony.  I would like to remind you that today we will be making statements relating to IVERIC bio’s future expectations regarding operational, financial, and research and development matters. These statements constitute forward-looking statements for the purposes of the Safe Harbor provision under the Private Securities Litigation Reform Act of 1995. These statements cover many events and matters that are subject to various risks that could cause actual results to differ materially from those expressed in any forward-looking statement.  I refer you to our SEC filings and in particular to the risk factors included in our quarterly report on Form 10-Q filed on November 09, 2021 for a detailed description of the risk factors affecting our business that could cause actual results or events to differ materially from the forward-looking statements that we make. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update these forward-looking statements at some point in the future, we disclaim any obligation to do so, except as required by law. I will now turn the call over to Glenn.
Glenn Sblendorio: Thanks, Kathy. Good morning, everybody, and thank you for joining our fourth quarter and year end conference call. As we think about 2022, we continue to focus on execution, as evidenced by GATHER2, our second Phase 3 clinical trial for Zimura for the treatment of geographic atrophy or GA, which continues to exceed expectations with an injection fidelity rate well above our stated goal of greater than 90% at month 12. We look forward to sharing top line data in the second half of the year. This will be approximately one year after the enrollment of the last patient and plus as you know the needed time to do the database lock and analysis, which Keith will speak to in a few moments. If the 12-month results are positive, we plan to file applications with the US FDA, as well as the European Medicines Agency for marketing approval of Zimura in GA. As we get closer to reporting the GATHER2 data, we continued our efforts internally to prepare for potential filing of a new drug application for Zimura for the treatment of GA. We continue to gain momentum at building out our medical affairs team led by Dhaval Desai, our Chief Development Officer, and the commercial infrastructure led by Chris Simms, our Chief Commercial Officer. These are two experienced and well-seasoned leaders with experience in working and launching retinal drugs with blockbuster potential. We continue to execute on our IP strategy for Zimura. Earlier this month, the US Patent and Trademark Office allowed claims for patent covering methods of use of Zimura to treat GA. The patent, once issued, is expected to expire in 2034. We’re also excited to announce the results of a post-hoc analysis that evaluated various GA growth parameters to explore the rate of disease progression within the regions in the fovea in a subset analysis of patients from GATHER1, which was our Phase 3 clinical trial for the treatment of Zimura in GA. These data were recently presented at this year’s Angiogenesis, Exudation and Degeneration conference, and Pravin will provide more details on the analysis in a few moments and you will see why we are quite excited by this new data. As we think back over the past year, we successfully achieved a number of major milestones that we believe have laid the groundwork for 2022 to be a banner year for us. Let me briefly recap some of the significant highlights. First, we received a written agreement from the US FDA under a Special Protocol Assessment or SPA for the overall design of GATHER2. The agreement further solidifies our plans to file an NDA with the FDA for marketing approval of Zimura for GA if the ongoing GATHER2 clinical trial meets its primary endpoint at 12 months. As you know, Zimura met its primary efficacy endpoint at 12 months with statistical significance in a previously completed GATHER1 pivotal trial.  In July we announced the completion of patient enrollment in GATHER2. This was four months ahead of our original schedule. We also started the planning to initiate a Phase 3 clinical trial studying Zimura in patients with intermediate AMD in the second half of this year. We continue to enroll patients in our STAR clinical trial. This is our Phase 2b screening trial of Zimura for treatment of autosomal recessive Stargardt disease. We also initiated a number of preclinical tolerability and pharmacokinetics studies for IC-500, our HtrA1 inhibitor. However, we anticipate that the start of the IND-enabled tox studies will be later than originally planned. This is primarily due to the availability or lack of availability of study slots that contract research organizations in the wake of COVID-19 pandemic. We expect to submit an Investigational New Drug Application for an IND to the FDA for IC-500 during the mid-2023. We also strengthen our balance sheet by raising approximately 108 million and 163 million in net proceeds from public offerings in July and October 2021 respectively. Dave will cover our cash and cash runway later in the call. We believe that these capital raise enabled us to accelerate preparations for potential commercial launch of Zimura and allow us to continue to invest in manufacturing capacity. In addition, we continue to invest money in additional lifecycle initiatives for Zimura in order to expand the patient population with additional indications, such as the initiation of an intermediate AMD trial and investing in multiple sustained release delivery technologies.  On the corporate front, we’re excited to welcome Christine Miller who’s the President and Chief Executive Officer of Melinta Therapeutics to our Board of Directors. We’re thrilled to have somebody of Christine’s caliber join our board. Christine’s extensive background on commercialization and supply chain management will be a valuable addition to our Board of Directors. We’re also, as Kathy just mentioned, excited to welcome Tony Gibney to our company. He joined us Chief Business and Strategy Officer this past December. Tony is an experienced biotech executive and former investment banker and, as you know, is well known throughout our industry. We look forward to Tony’s leadership and extensive experience in contributing to our future success. I will ask Tony to say a few words about our business development strategy later on in this call.  I’d like to now turn the call over to Keith. 
Keith Westby: Thanks, Glenn, and good morning, everyone. As Glenn mentioned, we completed patient enrollment in GATHER2 in July 2021 with 448 patients enrolled, four months ahead of our original schedule. Based on this timeline, we expect top line GATHER2 data to be available in the second half of 2022, approximately one year after the enrollment of the last patient, plus the time needed for database lock and analysis. We are actively working internally and with our third-party vendors to prepare for the GATHER2 database lock. A major priority for us is to continue to aggressively drive patient retention, and thereby further de-risk the GATHER2 clinical trial.  As Glenn mentioned, we are targeting patient retention for the GATHER2 trial as measured by injection fidelity rate through month 12 of greater than 90%. Injection fidelity is calculated by dividing the total number of actual injections by the total number of expected injections. We consider injection fidelity to be the most important and stringent measure of patient retention because it reflects the timely administration of the drug or sham into the patient’s eye. As of today, we continue to maintain an injection fidelity rate of well above our 12-month target of greater than 90%. As a comparison, the 12-month injection fidelity rate for our GATHER1 trial, which showed a statistically significant reduction in GA progression at 12 months, was 87%. We continue to focus on injection fidelity, not only to protect the integrity of the data, but also to potentially observe the early and increasing treatment effect we previously observed in GATHER1. Patient retention is clearly an integral part of the GATHER2 outcome. To date, we are excited to have reached a trial completion rate of 84% for year one, the time point for the primary efficacy endpoint of the trial. Therefore, with only approximately 16% of year one visits remaining in GATHER2, we are encouraged to see that our efforts to maximize patient retention in GATHER2 have resulted in even greater patient retention than was observed in GATHER1 through the same time period.  To summarize, GATHER2 has exceeded our expectations for patient recruitment, patient retention, and injection fidelity. We continue to work with our investigators to provide a safe environment for patients, which we believe increases the patient’s comfort and confidence to continue to participate in the GATHER2 clinical trial. As we discussed in the past, we implemented a number of initiatives to reduce the risk and exposure to COVID-19 for our patients and the staff treating them. We have found that many principal investigators are enthusiastic and committed to participating in GATHER2 clinical trial. We believe the positive GATHER1, 12 months data, further supported by the positive 18 months efficacy results and the safety profile that was maintained throughout the trial, along with the early and increasing treatment effect observed in GATHER1 are key motivators for retention and GATHER2. In addition, there are currently no therapies approved for GA in either the US or the European Union.  Turning to Stargardt disease, patient enrollment in the STAR trial is ongoing, with the goal of enrolling approximately 25 additional patients, for a total of approximately 120 patients. The results of this trial are expected after the top line results of GATHER2.  Thanks for your time and I will now turn the call over to Pravin.
Pravin Dugel: Thank you, Keith. Thank you all for joining the call this morning. I hope that you are all well. On our previous earnings call, we discussed that part of the GATHER program in addition to evaluating the overall rate of GA growth, we’re going to be investigating through supportive analyses whether Zimura has the potential to slow the progression of GA into the fovea, thereby preserving central vision, which would otherwise be lost in this relentlessly progressive blinding disease. Two weeks ago, data from a post-hoc analysis that evaluated various growth parameters to explore the rate of disease progression within various regions in the fovea, in a subset of patients from the GATHER1 clinical trial, were presented at the Angiogenesis, Exudation and Degeneration conference by Dr. Glenn Jaffe, Director of the Duke Reading Center and Chief of the Retina Division of the Duke Eye Center and Robert Machemer, the Professor of Ophthalmology. Consistent with the overall results of have GATHER1, in the new analysis, a reduction in lesion growth in five standardized regions surrounding and including the central fovea area was observed for patients receiving Zimura 2 milligrams as compared to patients receiving sham over a period of 18 months. We believe the observed pattern of reduction in GA growth in the different regions is consistent with the natural history of the disease and recent clinical trial results in which complement inhibition has been observed to be associated with a greater reduction in GA growth in patients with non-foveal GA, which is known from a natural history to be faster progressing than fovea-involving GA. This analysis supports our expectation that we would see a greater reduction in growth away from the fovea center, reflecting the circumferential growth pattern typical for GA patients.  GA has a major impact on functional vision, which could alter the quality of life and independence of effective individuals. We believe that the results from this exploratory analysis are another step in studying the potential of Zimura to preserve central vision by slowing the progression of GA. The significance of this data is that it has the potential to bridge anatomical results to functional outcomes. In other words, by preserving the central fovea, the patient may have the opportunity to continue to drive, read, live independently, etc, for a longer period of time as compared to the natural history of the disease. Additionally, by preserving the central fovea, we believe we have the potential to show a visual acuity benefit over time. It must be stressed, however, that this is an exploratory post-hoc analysis that requires confirmatory prospective trials. Over time we anticipate performing a similar analysis for GATHER2 to further build upon these insights.  Turning to earlier stages of AMD, based on our hypothesis regarding complement inhibition, as a mechanism of action to treat AMD, in the previously announced results from a post-hoc analyses from GATHER1 evaluating the progression of incomplete Retinal Pigment Epithelial and Outer Retinal Atrophy or iRORA to complete Retinal Pigment Epithelial and Outer Retinal Atrophy or cRORA and the progression of drusen to iRORA or cRORA, in the Zimura 2 milligram and sham group, we plan to initiate a Phase 3 clinical trial studying Zimura in patients with intermediate AMD, a stage prior to the current sub-GA, in the second half of 2022. We expect this intermediate AMD trial to be an international randomized double mass sham controlled multicenter trial with approximately 200 patients per treatment group. We expect to treat and follow all patients for 24 months. We plan to obtain feedback from regulatory authorities that will influence the ultimate design of this clinical trial and our development strategy in this indication before initiating this trial.  Drusen is a hallmark of the onset and progression of AMD. We estimate that by 2039, there will be approximately 6 million individuals with drusen in the United States and 8 million individuals with drusen in the EU countries. The population we look to enroll on the intermediate AMD trial is a subset of the prevalent drusen population. We have been exploring several lifecycle management initiatives for Zimura with efforts focused on potential sustained release delivery technologies. Our goal is to derive a formulation of Zimura, with a sustained release delivery technology that reduces the frequency of intraductal injections, while maintaining comparable efficacy and safety to monthly injections. We have been exploring and evaluating a number of potential sustained release delivery technologies, including conducting feasibility studies with various technology providers and analyzing the resulting formulations containing Zimura and the sustained release delivery technology. If any of these technologies meet the performance thresholds that we have established, we may pursue longer-term development collaborations.  We are fully committed to delivering treatments for AMD, including earlier stages of the disease such as intermediate AMD. We believe we’re well-positioned to expand Zimura’s indications, build an AMD franchise, and subject to regulatory approval, commercialize the Zimura for GA as the market leader.  Thank you for your time. I will now turn the call over to Tony. 
Tony Gibney: Thank you, Pravin, and good morning, everyone. It is truly a pleasure to be here with you this morning. I’m excited to join IVERIC bio and to work with Glenn and others in the leadership team, who I’ve known for many years, as well as Pravin, Dave, and all my new colleagues. I appreciate the opportunity to say a few words about our business development priorities and broader strategy. We are continuing to explore all options for the future development and potential commercialization for Zimura, including potential collaborations outside of the US. I want to reiterate our plan to develop and commercialize Zimura in the US, where we can leverage our retinal expertise particularly well.  As we continue the development of our product candidates and programs and prepare for the potential commercialization of Zimura, we’ll continue to pursue selective business development opportunities that advance us toward our long-term strategic goal of becoming a dominant and sustainable leader in retinal diseases. We plan to continue to evaluate on a selective and targeted basis opportunities to obtain rights to additional product candidates and technologies for retinal diseases, as Pravin just mentioned, with a near-term focus on sustained-release delivery technologies for Zimura.  Thank you for your time this morning. I look forward to connecting with all of you soon. I will now turn the call over to Dave. 
David Carroll: Thank you, Tony, and good morning, everyone. I’d like to highlight a few items from our press release of this morning and provide some guidance or expected year-end cash balance and our expected cash runway. For the quarter, our net loss totaled 33 million or $0.29 per share, compared to a net loss of 25.4 million or $0.27 per share for Q4 2020. This increase in net loss was driven primarily by an increase in R&D expenses associated with our Zimura clinical programs, increased manufacturing activities for Zimura, and increase in personnel costs including stock compensation associated with additional R&D staffing. For the full year, our net loss totaled 114.5 million or $1.12 per share, compared to a net loss of 84.5 million or $1.14 per share for 2020, again primarily due to an increase in R&D expenses.  Turning to our expected year-end cash balance and cash runway. We now expect our year-end cash balance to range between 215 million and 225 million. We estimate that our cash, cash equivalents, and marketable securities will be sufficient to fund our planned capital expenditures and operating expenses through at least mid-2024. These estimates are based on our current business plan, which includes a continuation of our ongoing clinical development programs for Zimura in GA and Stargardt’s and the initiation of intermediate AMD clinical trial, preparation potential filing of an NDA and a MAA for Zimura, continuing preparations for potential commercial launch Zimura, investing in sustained-release delivery technologies for Zimura, and the advancement of our IC-500 development program. Excluded from these estimates are any potential approval or sales milestones payable to the Archemix Corporation, or any potential expenses for the actual commercial launch of Zimura, including salesforce expenses, and any additional expenditures related to potentially studying Zimura in indications outside of GA, Stargardt’s and intermediate AMD resulting from the potential in-licensing or acquisition of additional product candidates or technologies or any other associated on that we may pursue.  And now, I’ll turn the call back over to Glenn. Thank you for your time. 
Glenn Sblendorio: Thanks, Dave. As we look ahead to 2022, we’ll continue to focus on the execution of GATHER2 with the retention of patients and preparing for potential commercialization of Zimura in the US as our top priority. We will continue our internal efforts to prepare for potential filing of an NDA for Zimura for the treatment of GA if the GATHER2 results are positive. We also look forward to initiating a Phase 3 Zimura intermediate AMD trial and investing in additional lifecycle initiatives, such as sustained release technologies for Zimura.  I want to thank you all today for listening in and your continued support and we look forward to providing you with updates on our progress as we move along. We will not turn the call over to the operator, so we can open up the lines for questions. Keith, I will turn it to you. 
Operator: Yes, thank you. [Operator Instructions] And the first question comes from Ken Cacciatore - Cowen & Company.
Ken Cacciatore: Hey, good morning, team. Congratulations on all the progress. Your competitors results really helped nicely confirm the impact on complement inhibition studying extrafoveal lesions and obviously your post-hoc analysis also focusing on your enrichment strategy really validates it. So just wanting you to talk about the percentage of GA patients that have extrafoveal lesions, talk about how easy it is to diagnose. I know once a product is approved, I would imagine you can implement a strategy to really help educate clinicians on earlier diagnosis but like to hear about that. And then maybe talk about how the FDA would handle a label here in terms of extrafoveal versus foveal. So that’s question number one with a couple parts.  And then just question number two, you talked about the progress on looking for extended release formulations, just like to hear a little bit more about the ease or maybe lack thereof of Zimura in formulating into extended release, kind of what are you seeing in your early work here and then maybe talk about would an implant be something that you’d look at. There seems to be some success right now moving forward with the TKIs on an implant strategies, just a little bit more around the sustained release formulation work. Thanks so much. 
Glenn Sblendorio: Well, thanks, Ken and we’ll work on question one, which I think has three parts. And we’ll break it up amongst the team. The first part is the amount of extrafoveal patients in the total population of GA, which we estimate to be about 1.5 million in the US and of that about two-thirds have extrafoveal, so I hope that helps with that. The second question on really diagnosis and finding these patients; Pravin, let me turn it over to you and maybe [indiscernible] on the NDA and for the extended release, we’ll maybe ask Tony to comment. So, Pravin, on the diagnosis question? 
Pravin Dugel: Thank you, Glenn, and Ken thank you for your question. The diagnosis part, Ken, is really with it with a fundus examination, essentially. One can see these patients and see the geographic atrophy with a routine fundus evaluation. Now, you can also see it very clearly with an autofluorescence and this is the diagnosis that really will be made not just by retina specialists but by general ophthalmologists as well as optometrists and that’s where most of the extrafoveal patients currently reside. There’s a referral bias, as you can imagine, for retinal specialists because they’re usually referred the most severe patients that means foveal involving. However, the ones that you’re referring to the extrafoveal is really the vast majority of the patients and these currently reside with general ophthalmologists and optometrists. And our expectation is that once there’s a therapy for these patients, these patients will be referred to retinal specialist as was the case for wet macular degeneration.  Now it’s important to state that these patients really do suffer from a loss of visual function, although their visual acuity may be 20-20, they may not be able to see a straight line, they may not be able to finish reading a sentence or finish reading an Excel table because of a blind spot. So these patients we would imagine would be younger in the workforce and therefore much more desperate and much more compliant as well.  In regards to the other questions, Glenn, I’ll turn them back to you. I’m happy to answer as you as you direct.
Glenn Sblendorio: Okay. Thank you, Pravin. Let’s go -- we’ll come back to your NDA question. Ken, I just want to get clarification on exactly what you’re looking for but, Tony, a couple of words about extended release, and the early work that we’re doing there and the type of technologies that may be applicable here.
Tony Gibney: Sure, happy to Glenn. So we’re looking at a number of technologies and they are really across the spectrum of available technologies for a back of the eye diseases, some of which are quite late stage and validated and some that are really more emerging technologies. And I have to say, I think that Zimura, given that it’s an [indiscernible], rather stable seems to be rather conducive to a number of the technologies, but not every technology. And so, as we look at the feasibility, we are looking at implant technologies, we’re looking at micro-particles, we are looking at others, and as we continue to gauge the feasibility, really our targeted goal is to really move forward those that are most amenable to Zimura and meet our targeted goals for sustained delivery in a way that really doesn’t compromise patient care, but it really continues the benefits that we’re seeing with Zimura in its current formulation, so stay tuned. 
Ken Cacciatore: Great. And my question was on the label and, obviously, there seems to be impact on all areas of the foveal and extrafoveal. But just wondering how do you think the agency will handle the label given the patient enrichment for GATHER1 and 2?
Glenn Sblendorio: Yeah, so, Ken, firstly, I think we need to obviously see the data from GATHER2 before we talk about label strategy. But I’ll let Pravin answer that because I think we have some thoughts on how we position our data with the agency. Pravin?
Pravin Dugel: Thank you, Glenn, and, Ken, thanks again. So I must say from the very start that we haven’t had any formal labeling discussions with the FDA; obviously, it would be premature to do so. What I will tell you is that our expectation is that the label will be broad. Now, it doesn’t mean that complement inhibition doesn’t work in patients with fovea effecting lesions, it’s just that the delta given the natural history would be less and that’s exactly what we see in our studies and in our competitors’ studies as well. So the one thing that I would take home from this is that we certainly de-risk GATHER2 by picking the proper patient population.  Now again, our expectation is that if we’re able to slow down a faster growing geographic atrophy safely, there’s no reason that we wouldn’t be allowed to treat patients with a slower growing geographic atrophy having met a much higher bar for scrutiny. I think the FDA completely understands how important it is for patients with fovea affecting geographic atrophy to have some area in the parafoveal area survive. There are patients that I remember I used to treat that had lesions in the parafoveal area with eccentric fixation and they would use that area to stop from bumping into furniture or stop their hands from getting burned in a hot stove. That’s terribly important, it is difficult to measure but it’s terribly important that we feel that the FDA will recognize that and allow a broad label. 
Ken Cacciatore: Great. Thanks, team. Real exciting time for the company. Congratulations on the progress. I’ll go back in the queue.
Glenn Sblendorio: Thanks, Ken.
Operator: Thank you. And the next question comes from Mike Ulz with Morgan Stanley.
Mike Ulz: Hey, guys. Thanks for taking the questions. Just quickly on GATHER2 in terms of the injection fidelity rate. You’re obviously tracking above your goal of 90% and that’s exceeding your expectations. But I’m just curious more recently, if you’ve seen a break in the trend there at all due to Omicron.
Glenn Sblendorio: Yeah, Mike. Thanks for the question. And I think one of the reasons we wanted to reinforce our progress today is that Omicron, if those present complications, but I think we were able to knock on and manage through that, so that’s why we wanted to give the numbers both on the injection fidelity running well ahead of our projected guidance. And also a key point that Keith raised today is where we are in the injection progress, which was 84%. So I think the protections we put in early on for both patients and healthcare workers, as it related to the pandemic, I think have continued to pay off and in fact Keith’s team put a little bit extra diligence, as Omicron started to hit its peak to be sure that patients were managed, patients got to the visit, a lot of prep work, and then a lot of follow up work. So that was the reason we talked about injection fidelity today, because we feel we’re in real good shape. 
Mike Ulz: Yep. Got it. That’s helpful and then maybe just to follow-up on the intermediate AMD study that you’re going to start in the second half. You gave us some sense at a high level of how you’re thinking about the design but you’re also planning to meet with the FDA prior to starting to study. So just curious what are the areas you’re looking for feedback from the FDA? Is it endpoints? Is it enrollment criteria or any color you can provide there? Thanks. 
Glenn Sblendorio: Yeah, great question, Mike. Pravin, you want to take that one in terms of the design?
Pravin Dugel: Sure, and good morning, Mike, and thank you for the questions. First of all, I want to say if you just look at the biology of this disease, if complement inhibition works in extrafoveal geographic atrophy, you can be quite confident that it will work in earlier stages, because that’s where complement is even more active, which is intermediate AMD. What the FDA has stated publicly is to say, look, this is a major problem and there is a major advantage to not only slowing down the death of photoreceptor cells, but preventing it altogether. So we’re extraordinarily fortunate to have a very, very collaborative and consistent FDA. And the purpose of our meetings is that really nobody has done this study before, so the answer to your question, Mike, yes, all of the above.  We intend to sit with them and say, look, here are the parameters that we know from working with the community, as we are and as we have with a groups like the CAM [phonetic] Group and the [indiscernible] group, and say, look, here are the parameters that we know are predictive of geographic atrophy and this is what we would like to study and these are the patients that we’d like to enroll and that’s the discussion we intend to have. Again, the FDA is extraordinarily collaborative, and we believe that whatever feedback they give us will greatly influence the design and the development of this trial. 
Mike Ulz: Got it. Thank you. 
Operator: Thank you. And the next question is on Tiago Fauth with Credit Suisse. 
Tiago Fauth: Hey, thanks for the question and congrats on the progress so far. So just to go back to a point you’ve mentioned on GATHER2 being relative de-risked based on patient selection. So again, we haven’t seen [indiscernible] fully replicating their findings in Chile [phonetic] and maybe baseline characteristics could have played a role there. So can you just kind of recap kind of the factors that make you confident that GATHER2 will actually replicate, GATHER1 finding, and why you can expect a potentially different outcome than what you saw from your competitor. And a quick follow up and you guys alluded to some new IP that you have, can you just recap the current portfolio of the intellectual property, and also any outstanding financial obligations to our chemic based on potential approval and launch. Sorry, multipart question, there.
Glenn Sblendorio: Yeah, no problem, Tiago. I think we have three questions. First on the GATHER2 and how we’re feeling about the de-risking, I think there’re a few things to cover and I’ll let Pravin add to my commentary. One, we have an unusual situation that we have one of two Phase 3 trials done. So we have the benefit of the GATHER1 data, and we also have the benefit of the – which in the 12-month data was the primary endpoint, but also in GATHER1, we had the benefit of the 18-month data to see what happened in the six months after and as you know, we continue to see separation of the curves.  As to another factor, did you pick the right patients, we always believe that we did and then with our competitors data, with their subset analysis of extrafoveal lesion showing quite similar numbers in terms of efficacy, we felt that that’s a further de-risking. On the recruitment and the reason we put the concept of injection fidelity and obviously to keep the integrity of the study you want, high retention rates and we felt the best way to measure that was through injection fidelity, that’s why we created that concept and we continue to update that. And the fact that we’re running well ahead of our guidance and we are well into the 80% range demonstrates that these patients are coming back and also going back together. One, we had a terrific trial and data to show those patients that we finished a Phase 3 trial. So I hope that created some momentum and I think our investigators did talk to their patients about that. So for all the above and I will let Pravin additional commentary on that, we feel that we seen a number signs that are encouraging, as we get to the end of GATHER2. Pravin?
Pravin Dugel: Thank you, Glenn and, Tiago, good morning, and thank you for the question. Let me just divide my answers to two parts. The first part would be the consistency and validity of GATHER1 and the second part would be how we de-risked GATHER2 and both are really important questions. So if you go back and look at GATHER2, and now that there’s more data coming from our competitors and others, what you will see is there is remarkable consistency in terms of the efficacy profile and in terms of the safety profile. So in terms of the efficacy profile, what you’ll see is, as you know, is an immediate separation with a delta getting bigger and bigger with every visit. And that’s true in the two milligram dose, that’s true in the four milligram dose, that’s true whether it’s a square root transformation analysis, or a non-square root transformation analysis. And that’s actually even true in all the retrospective studies we’ve done. So that kind of consistency should give us a great deal of confidence in the robustness of the data.  And it’s the same thing that you see on the safety side as well. I mean, you see a superior safety profile, and you see a dose dependent response. So with everything in GATHER1, what I would tell you is that the confidence that we get is from the absolutely remarkable consistency of the data, which is in line with the science.  Now, the second part is how have we de-risked GATHER2, the most important answer is really by having GATHER1, as Glenn said. It’s really unusual; in fact, I don’t recall a time in my 30-year career doing clinical trials where I’ve ever recruited for the second part of a Phase 3 study, with the first part Phase 3 study already being so overwhelmingly positive. But the other ways that ways we’ve recruited with de-risked GATHER2 is by picking the proper patient population. And we did this for several reasons but the important one here is the biologic one, which is that is when complement is most active in geographic atrophy in the earlier stages and clearly that was confirmed in a by our competitors results.  The second is that we have a mixed random effects model that is particularly stringent and validated by the FDA. As you recall, we’ve got a SPA agreement, where all of the trial has been looked at including our mixed random effects model. And thirdly, and what we are doing right now and Keith and Evelyn Harrison and Dhaval Desai and their group are doing so well is to have that injections fidelity at a number that’s just unheard of, which is above 90%. And that’s despite having no vaccine, having Delta, having Omicron, our guidance hasn’t changed. So we believe we were doing everything that can possibly be done to de-risk GATHER2, in the face of an overwhelmingly positive and consistent result for GATHER1.
Glenn Sblendorio: Thanks, Pravin. And Tiago to your second question around the patent, I think it’s one of our multi-pronged strategy that we laid out for lifecycle of this product. This is a patent that covers methods of using Zimura and, once issued, it is expected to expire in 2034. Now it’s under the umbrella of lifecycle. Tony spoke a little bit about the initiatives for extended delivery. Obviously, strengthening the IP portfolio is a part of that and we’ll look to continue to find ways to extend this franchise, so we were happy to report today on that pattern, which is just one step in a number of things that we’re working on.  The third question, Tiago, was related to financial obligations and I’m going to ask Dave, to cover that. 
David Carroll: Sure. Thanks. Tiago, thanks for the question. And let me just open up with it’s a really great deal for us. There’s no royalties on Zimura whatsoever, first off, and then the total payments really just the first indication is in the $20 million to $25 million range, it is 23.5 or something like that. This will all be in our 10-K and it is actually in last year’s 10-K also. And then no royalties and those milestones just related to clinical and regulatory milestones that’s it.
Glenn Sblendorio: Thanks, Tiago. Any follow up?
Tiago Fauth: Yeah. No, that’s it. That’s fine. 
Operator: Thank you. And the next question comes from Annabel Samimy from Stifel.
Annabel Samimy: Hi, thanks for taking my questions. I had a couple here. So I guess there’s been some question about patient motivation to -- or physician motivation to treat as high, patient motivation to continue to treat chronically, I would say, the late stages of disease, like where they’re starting to see functional issues is likely high. But I’m just a little bit curious in the intermediate stages of disease, to what extent are these patients compromised functionally? And I know you’re motivated to try to treat these patients as early as possible in disease, but I guess I’m trying to understand the patient motivation to treat earlier in disease. And maybe you can just talk about that in terms of where you think the most likely treatment will be, even if you have meaningful data on the intermediate population. And I guess the second question I have is on the 84% completion that you’ve talked about, are all these patients expected to move into that 18 month portion of the trial? And if so, or if it’s an option, and to what extent have these patients have those 84% also moved into the 18-month portion of the trial? Thanks.
Glenn Sblendorio: Okay. Thanks, Annabel. So, two questions there and I’ll have Pravin answer the first question because as a prior life as a treating physician, I guess there’s nobody better to talk about patients and patients motivation on this disease. And on the completion rate, I’ll have Keith answered that, including what happens to these patients at the end of their 12 months, what happens in year two, so Keith will lay that out for you. So, Pravin, let me turn it over to you first.
Pravin Dugel: Great. Annabel, good morning, and thank you for your question. Let me just divide the answer into two different parts, the GA part as well as the intermediate AMD part. And there’s really a fallacy out there that with geographic atrophy this is a disease that occurs in a far older patients, and the disease progresses extremely slowly, we simply know that that is not true. We know that this is a disease that occurs as early as the patients in their 50s and 60s and always starts extrafoveal, always progressive circumferentially fairly rapidly, and I use that word rapidly deliberately. If you look at great natural history studies that have been done by Genentech and Roche, you’ll see that that movement of geographic atrophy occurs in a matter of months, not years, we’re talking about four to six months or so.  Another way of looking at this is that there was a recent article that looked at the entire UK database that was authored -- the senior author was Usha Chakravarthy, that showed that patients with geographic atrophy end up losing driving vision, 60% or so lose driving vision in 1.6 years, which is just really stunning and in about three years, 40% or so have their central fovea completely obliterated. So this is truly a relentless, relentlessly progressing blinding disease and these patients, again, that we’re targeting are the whole gamut of patients with early disease as well as late disease. You can imagine that these are patients who may be in their 50s and 60s that may not be able to see a straight line and functioning as an architect or an engineer, or may not be able to read -- finish reading a sentence and are functioning as an attorney or an accountant. These are people that have 20-20 vision but are visually completely dysfunctional. And we believe that they’ll be very motivated when there’s a treatment available to slow down the progression of this disease. And again, those patients are not necessarily all with retina specialists at this point, they are with optometrists and general ophthalmologists, but once there’s a treatment available, we believe those patients will be referred rapidly to the retina specialist and we’ve seen this in wet macular degeneration as well.  Now switching to intermediate macular degeneration, typically these patients can be identified as early as in their 30s and 40s. And you’re exactly right, a lot of them in the very earliest stages are not symptomatic, in the later stages of intermediate AMD they are symptomatic and the same kind of reasoning that I mentioned where they may be able to have visual dysfunction because of not seeing straight line with the [indiscernible] or scotomas, or blind spots. And currently with a version one of Zimura, we feel that there are enough patients with intermediate AMD where that impact will be made to prevent the progression to a blinding disease, which is geographic atrophy and that’ll be very important for the earlier stages.  Our lifecycle management of Zimura that Tony referred to is terribly important. We believe that if we can have a sustained delivery type strategy where patients have to come in to the retina specialist maybe once every six months or once every year that will be quite acceptable to prevent them from having to suffer through geographic atrophy. I hope I’ve answered your question. Thanks for the question. 
Annabel Samimy: You have. Thank you. 
Keith Westby: Thanks, Annabel. This is Keith for your question on the 84% completion, just a couple of things, so you’re correct, 84% of completion of year one. GATHER2 is designed as a two year study, so as these patients complete year one, they’re rolled into year two of this study. Just important to note the design, so as patients receive monthly injections that are on the 2 milligrams or more arm in year one, at the 12 month time point, they’re re-randomized to either continue to receive monthly injections of Zimura 2 milligram or every other month. The sham patients continue on sham. Hope that helps to answer your question.
Annabel Samimy: Okay. Yes. And all of them have been re-randomized, all the 84% that have completed has been randomized -- re-randomized?
Keith Westby: That’s correct. That’s correct. As those patients come off, they go into year two. 
Annabel Samimy: Okay, great. Thank you.
Glenn Sblendorio: Thanks, Annabel.
Operator: Thank you. And this concludes the question and answer session. And I would like to turn the car for the management for any closing comments.
Glenn Sblendorio: Well, thank you, Keith, for moderating today and I want to thank everybody for joining. And we look forward to a continued dialogue about our progress through the rest of the year. Goodbye, everybody and have a good day. 
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.